Operator: Good day, everyone, and welcome to the Expedia Group Q4 2024 Financial Results Teleconference. My name is Alex, and I'll be the operator for today's call. Thin keypad. If you change your mind, please press star followed by two to cancel your request. For opening remarks, I will turn the call over to SVP, Corporate Development Strategy and Investor Relations, Harshit Vaish. Please go ahead. Good afternoon, and welcome to Expedia Group's fourth quarter 2024 earnings call. I'm pleased to be joined on today's call by our CEO, Ariane Gorin.
Harshit Vaish: And our incoming CFO, Scott Shankel. As a reminder, our commentary today will include references to certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most comparable GAAP measures are included in our earnings release. Unless otherwise stated, all growth rates are on a year-over-year basis. And any reference to expenses exclude stock-based compensation. We will also be making forward-looking statements during the call which are predictions, projections, or other statements about future events. These statements are based on current expectations and assumptions which are subject to risks and uncertainties that are difficult to predict. Actual results could materially differ due to factors discussed during this call, and in our most recent forms 10-K, 10-Q, and other filings with the SEC. Except as required by law, we do not undertake any responsibility to update these forward-looking statements. Our earnings release, SEC filings, and a replay of today's call can be found on our Investor Relations website at ir.expediagroup.com. And with that, let me turn the call over to Ariane.
Ariane Gorin: Thanks, Harshit. And thank you all for joining us today. I want to start by welcoming Scott Schenkel as our new CFO. It's great to have him on board, you'll hear from him shortly. Our fourth quarter results exceeded our expectations. With room nights, gross bookings, and revenue all growing double digits. This top-line strength reflects our continued strong execution, along with better than expected travel demand. Our disciplined cost management and top-line outperformance resulted in strong EBITDA growth with margin expansion. Bookings for the consumer business accelerated for the third consecutive quarter to 9%, up five points sequentially. Each of our core brands, Brand Expedia, Hotels.com, Vrbo, saw bookings growth. Our B2B business had a stellar quarter. With bookings growth increasing five points sequentially to 24%. And our advertising business posted yet another strong quarter with 25% revenue growth. Travel demand remained healthy in Q4 despite price increases in hotels, vacation rentals, and air. Like last quarter, international demand was stronger than the US, with booked room nights growing high single digits in the US low double digits in Europe, and high teens in the rest of the world. Our B2B business continues to benefit from this strong international demand, especially in APAC. And in our consumer business, our global expansion efforts continue to show solid progress. With bookings growth outside the US accelerating four points sequentially. Within our consumer business, Brand Expedia remains strong with room nights growing mid-teens. Air on Expedia notably improved driven by higher ticket prices, continued package product improvements, and new merchandising capabilities. For Hotels.com, bookings returned to slight growth driven by momentum in international markets. And for Vrbo, bookings growth accelerated sequentially as well. With improved traffic and conversion. Global active membership in our loyalty program grew 7% in Q4. And our twelve-month member repeat rate was also up over 300 basis points year over year. Across our three core brands, nearly 50% of room nights came from silver, gold, or platinum members. These higher-tier members receive additional benefits such as member discounts. Which are funded by our supply partners and help to drive loyalty to our brands. Our strong fourth quarter results contributed to a solid full year 2024. When I stepped in as CEO last year, we set an ambition to bring Vrbo and Hotels.com back to growth while extending our strengths in Brand Expedia, B2B, and advertising, and being disciplined in our costs. While we have more work ahead, I'm proud of how our teams delivered against this call to action and built momentum over the course of the year. Bookings growth in our consumer business accelerated every quarter in 2024. From negative 3% in Q1 to 9% in Q4. B2B bookings grew 21% for the full year. We've grown bookings from existing partners through strong account management, great inventory, and new product features, and had our best year ever in production from New Parkins. Overall, B2B accounted for 27% of our bookings last year, and we've cemented our leadership here. Our advertising business or sorry. Our advertising revenue grew 32% in 2024 and drove 5% of our overall revenue. We onboarded more advertisers to our platform, launched new ad types like video, and introduced new tools for partners to manage their campaigns, all of which are resonating strongly with our advertisers. As a reminder, advertising is a high margin, high growth business. And we see a lot more opportunity to innovate. Supply is at the heart of our business. And we made great strides last year in improving our supply through technology investments, stronger partner relationships, and everyday efforts from our commercial teams. We're sourcing more traveler benefits, whether through member deals package discounts. We've released new functionality around merchandising, have improved the quality of our vacation rental supply. All of these are great for travelers, delivering valuable and targeted demand to our supply partners. As we move into 2025, we have three overarching priorities. Building on our progress from 2024. First, deliver more value for travelers. Second, invest where we see the greatest opportunity to drive growth in each part of our business. And third, continue driving operating efficiencies and expanding our margin. I'll share more color on each and then talk about how AI will help us across all three. Let's start with our first priority of delivering more value for traveler. Already today. We create effortless, personalized, and rewarding experiences for customers. We do this through our supply, which deals travelers can only get through us and bundles and savings that we can uniquely create. We also do it through our industry-leading customer service, and innovative products and features that travelers want. And in 2025, we're going to do even more. In supply, more member rates beyond hotels and more targeted offers. In servicing, more self-service options both in the product flows and in the virtual agent experience. And, of course, in product. All powered by deep insights and data that enable personalized experiences that travelers trust. Moving next to our second priority, We'll invest where we see the greatest opportunity to drive growth in each part of our business. In our consumer business, this means focusing on our three biggest brands, having clear sharp value propositions for each of them. For Expedia, for example, that's building on our strength as a one-stop shop and focusing on differentiators like packages, while scaling newer products like vacation rentals.
Harshit Vaish: Our consumer business is still heavily weighted to the US,
Ariane Gorin: And while we made progress in 2024, looking ahead, we'll continue to push internationally in a targeted way. In our loyalty program and marketing, we'll be even more targeted in our spending. For example, looking deeply at where we see the biggest impact from our loyalty earn. And in B2B, it's about forcing unique supply for our B2B partners, testing new products, and signing new deals, and deepening our commercial partnerships. And finally, our third priority is to continue driving operational efficiencies and expanding our margins. We were disciplined in our cost management in 2024. And that allowed us to expand profit margins while reinvesting in strategic areas. We believe we still have room to deliver further efficiencies across our variable costs and fixed cost base. To expand our margins even farther. AI is an accelerator for all three of these we've only scratched the surface. As we look ahead, we're exploring the many ways AI will unlock even more value in our product. We're already seeing evidence of how AI is driving better experience across the discovery, shopping, and post-booking journey. In turn are driving loyalty and growth. Going forward, we'll continue to test and release AI-generated features to further personalize our traveler experience. AI also opens new possibilities to drive traffic to our brands as consumers increasingly search in new Gen AI native Experiences. And we're ensuring that we meet them where they are. And for our B2B business, the AI the AI native travel startups that will inevitably emerge present new partnership opportunities for. Finally, we see tremendous opportunity to use AI to allow our teams to move faster and be more productive. It's not just about cost reduction. What's even more exciting is how it will enable our teams to spend more time where they can have the biggest impact.
Ariane Gorin: We're excited about the potential
Ariane Gorin: and are seeing early results across customer support, technology, marketing, and our commercial teams. Really across all parts of how we operate our business. So in closing, we're pleased with our fourth quarter performance and the momentum we've built over 2024. And we believe that in 2025 and beyond, we have a substantial opportunity to drive even greater value for our travelers, Partners. And shareholders. With that,
Scott Shankel: over to you, Scott. Thank you, Ariane, and good afternoon, everyone.
Scott Shankel: I'm excited to join Expedia Group, and I look forward to partnering with you and the team to help deliver our priorities. Let's get started. Wrapped 2024 with a strong fourth quarter, both financially across many of the operating metrics. Room nights, gross bookings, and revenue all grew double digits with EBITDA margins expanding nicely. Total gross bookings was $24.4 billion grew 13% with a five-point sequential acceleration in both B2C and B2B. With a better than expected demand environment and strong operational execution. We had a particularly strong post-Thanksgiving promotional window where bookings during this period were the our highest ever. Lodging gross bookings grew 12%. Which includes our hotel business growing 14%. And and continued acceleration at Vrbo. Outside of our lodging business, we also saw notable strength in our air business, driven by higher air prices, growth in multi-item packages, our new merchandising capabilities. Revenue of $3.2 billion grew 10% led by our B2B business, which grew 21%. Revenue growth accelerated seven points from the third quarter primarily driven by Vrbo's bookings momentum throughout the year translating into stays and further improvement into Hotels.com. Gross margin was nearly 90% for the quarter, up 125 basis points. We are pleased to see our ongoing initiatives continue to deliver transactional efficiencies particularly in customer service. Direct sales and marketing Up 13%. Leading to flat leverage as a percent of gross bookings. This was over 20 basis points of sequential improvement driven by continued efficiencies at Brand Expedia. As I noted earlier, Brand Expedia did benefit from the merchandising as they resulted in bookings without any incremental marketing expenses. Overhead expenses were $643 million. A decrease of 1% resulting in nearly 250 basis points of leverage. This was primarily driven by lower people cost in products and technology, from our actions in 2024 as well as overall strong expense control. We remain committed to driving efficiencies across our P and L and we're pleased to see another quarter of strong overhead leverage. We delivered fourth quarter EBITDA of $643 million up 21% with an EBITDA margin of 20.2% an expansion of 175 basis points. This was better than expected due to both the higher revenue growth and effective expense management. We delivered $338 million of EBIT with a margin of 10.6% up 280 basis points. This was a hundred and fifth a hundred and five basis points greater than EBITDA margin expansion. Driven by lower stock-based comp And ongoing depreciation leverage. Turning to the full year results. We posted gross bookings of $111 billion
Ariane Gorin: up 7%
Scott Shankel: and revenue of nearly $14 billion also up 7%. Underpinned by a notable recovery throughout the year in our B2C business and continued strength in B2B our advertising business. While we decided to invest in market to accelerate our B2C business, we feel that was net beneficial to the business, and we paid for this by being financially disciplined driving gross margin improvement of 170 basis points and overhead of approximately 140 basis points. As a result, EBITDA margin for the year was 21.4% an expansion of approximately 60 basis points. This strong earnings growth enabled us to generate another year of robust free cash flow at $2.3 billion up 26%. Driven primarily by higher EBITDA growth in deferred merchant bookings, and lower capital expenditures. Moving to our balance sheet. With the strong cash flow ended the quarter with $4.5 billion of unrestricted cash and short-term investments. In late January, we notified the holders of our May 25 debt tranche that we will pay those notes in February. We continue to actively manage our balance sheet with the goal of maintaining debt levels consistent with our current investment grade rating. As a result and subject to market conditions, we intend to refinance and maintain our target leverage ratio of two times. As part of our disciplined capital allocation strategy, we repurchased $1.6 billion or 12.1 million shares in 2024. This combined with the shares we have repurchased since we reinstated the program a little over two years ago, as a result in over $4 billion or 36 million shares repurchase. So in summary, a solid year with a strong Q4 finish. Moving to our first quarter guidance. We expect our first quarter gross bookings growth to be in the 4% to 6% range, and and revenue growth to be 3% to 5%. This reflects approximately two points of foreign exchange headwind at current rates and the impact from lapping leap year and in revenue, the Easter shift to April. In Q1, we expect EBITDA margin to be flat to slightly better year over year, As a reminder, the first quarter is our lowest EBITDA quarter causing margins to be highly sensitive. Moving to the full year guide. We expect our 2025 gross bookings and revenue growth in the 4% to 6% range which is roughly in line with 2024. Factoring in the two points of negative FX impact. On the bottom line, we will continue to optimize our cross track to deliver efficiencies. And as a result, we expect to deliver another record year of EBITDA with margin expansion of 50 basis points year over year. With strong performance on EBITDA and cash flow, we will continue to buy back our stock opportunistically approximately $3.2 billion remaining on our share repurchase authorization. Additionally, today, we note we announced that we are reinstating our quarterly dividend starting in March of 2025 with a dividend of 40 cents per share which is approximately a 1% annual dividend yield. So in closing, we remain focused on delivering long-term profitable growth while being disciplined capital allocators. I'm confident with our strategies for growth and and strong ongoing execution, we will continue to deliver shareholder returns in 2025 and beyond. Let me now open the call for questions.
Operator: Thank you. Keypad. If you'd like to remove your question, you may press star followed by two. Our first question for today comes from Mark Mahaney of Evercore ISI. Your line is now open. Please go ahead. Thanks. I just want to ask about, Vrbo and
Mark Mahaney: Hotels.com, the recovery that you've seen, the improvement recovery for HCOM and and the ongoing improvement for for Vrbo. Just just talk about the sustainability of those into next year. What were the what were the initiatives that you think really started turning those businesses around so help us to have confidence that that that's gonna continue into 25. Thank you very much.
Scott Shankel: Okay. Thanks, Mark. Let me start with Vrbo.
Harshit Vaish: You.
Ariane Gorin: We did a lot of work in 2024 on product supply, and marketing. And that all three of those drove the acceleration through the year, and I do want to take a minute to thank the teams for that because it was it was a big task to do it. We are cognizant of the fact though that Vrbo you know, Vrbo with Hotels.com was meaningfully disrupted during the replatforming. And we lost travelers that were still winning back. On product, we put back some features that we had lost You know, Vrbo also benefited from some of the platform capabilities like dateless search or property comparison, but we chain supply in particular, and we've got some exciting plans coming in in 2025 around both of those. So I would just say, especially on product and supply, we know there's more work ahead. We're gonna continue leaning in we see the best returns and pulling back where the returns aren't as strong. When it comes to Hotels.com, you know, that one was also that brand was also pretty meaningfully impacted with not only the tech migration, but also the change in the loyalty program. And pulling back in international. You as I said, we we you have come back to modest growth at the end of the year. And the team has some big plans around really reinvigorating that brand that we'll see come to life in 2025. So I would say all up, we've got conviction in these two brands. We know there's still a bunch more work to do, but we feel good about where we are right now.
Scott Shankel: Okay.
Operator: You very much.
Ariane Gorin: Thanks.
Scott Shankel: Thank you. Our next question comes from Justin Post of Bank of America.
Operator: Line's now open. Please go ahead.
Ariane Gorin: Great. Thank you. Looks like Q1 guidance has some decent
Mark Mahaney: could you talk about and other issues. Any any headwinds early Q1 that that you're thinking about And then just longer term on margins, you know, fifty bps know, nice improvement year over year, but but where you are versus peers, it looks like there's a lot of room there. How how are you thinking about you know, longer term and and what you can do with margins versus your peers? Thank you.
Scott Shankel: Let me start with that Q1 guide. First off, You know, as I said in my script, the the bookings growth is four four to six percent. Factoring in two points of FX headwind. And about a point lapping leap year So, you know, if you look at that, that's roughly seven to nine percent. Excluding those two realities. Yeah. When when nothing appears to be travel environment to your question, We have seen some softening relative to Q4, which was strong as we pointed out. And our latest guide reflects that. And in light of strong some strong holiday promotions in December, we also believe there may be some there might have been some pull ins of some of the January bookings. So we think all of that kinda brings us to the the four to six percent. We feel pretty good about that. Pivot to revenue growth, just to kinda close out the point, I'm sure Our guide at three to five percent reflects some some added pressure from lapping last year. In particular the Easter timing shift. So you take three to five percent plus two point foreign exchange plus a point from leave here and roughly a point from Easter. Where the where the kind of rate very equivalent to last year is the way we think about it. Maybe I'll take a shot at margins Look, I think a half a point of margin in two thousand twenty four And a half a point in margin in twenty five, a nice one point is a good start. And I think we're we're doing it in a way that balances growth, make sure that we we we handle what we need to with marketing and make sure that we keep traffic and the demand up. And we balance the the forward looking needs for overhead and make sure we take reduce that. And I think you've seen both in two thousand twenty four and twenty five overhead come down and realized some nice leverage in the cost structure. Alright. I don't know if if you know anything else. Thanks, Justin. Great. Thank you.
Operator: Thank you. Our next question comes from Deepak Mathivanan of Cantor Fitzgerald. Line is now open. Please go ahead.
Scott Shankel: Great. Thanks for taking the questions. Arian, just wanted to dig
Harshit Vaish: little bit deeper into the B2B side. What's driving the strength in APAC? Can you also talk about kinda, like, the roadmap of new partnerships and what would be the primary growth drivers as we think about 2025 for the B2B business. And then, Scott, great to hear from you again.
Deepak Mathivanan: Maybe I'll just ask you to expand a little bit on the margin comment You know, last year, you guys had cost saving efforts that helped with margin expansion. This year, you know, whether you should still see fixed cost leverage, But what is the high level strategy beyond, you know, achieving fixed cost leverage? Maybe also in terms of how you're thinking about marketing investments and so on. Any color you can add about different line items that should help with the leverage would be super helpful.
Operator: Thanks again.
Ariane Gorin: Yeah. Thanks, Deepak. So on on B2B, the couple of things that are driving the strength in APAC is one, Yep. The partnerships that we have there, we're adding new partnerships We have some deep long standing partnerships. And fact that the markets there are growing well, so the partners that we're working with r Growing in line or faster than the market, and we're able to win share with them. So typically, what we do is you'll sign a partner, You'll have you'll get some of their business, and then over time, as you deepen the relationship, as we put in place sort of new new strategies with them, we're able to windshield. So that's really what's going on in APAC. And then in terms of B2B for this year, as I said, it's really a formula of Yeah. What can we do with our existing partners as they are growing You know, what new inventory can we put in with them? You know, where can we have our inventory surface more? It's also signing new partners and testing you know, we're gonna be testing some new product In market. I also wanna make sure everyone understands the importance of supply. The quality of our supply is so critical in growing that B2B business, and you we've over the last couple of years, done a lot of work in being able to get some supply that is particularly relevant to some of our B2B partners. Just on the margins, maybe I can pick it up for Scott as well, is we're we're not gonna break out the different pieces, but clearly, we see opportunities in a number of places We just wanna make sure that we maintain the ability to invest in the areas that we see good long term growth. During 2024, we talked a number of times about how we were leaning in international markets, we were leaning into Vrbo, maybe in ways where it wasn't as, you know, good a short term return as we might get elsewhere. But we we believe we need to have that ability to balance sort of investment for the long term and also, you know, remain committed and disciplined in our margin expansion.
Deepak Mathivanan: Great. Thank you very much.
Ariane Gorin: Thanks, Deepak. Thank you.
Operator: Our next question comes from Naved Khan of B. Riley Securities. Your line is now open. Please go ahead.
Harshit Vaish: Great. Thank you very much.
Deepak Mathivanan: So I remember you guys added some inventory of to verbal. I think it was apartment type of inventory. Or roughly a million properties. Wondering if you have any any color to provide in terms of how that
Harshit Vaish: that inventory performing relative to expectations? And as you think about 2025, is that the type of inventory you're will try to kind of add to Vrbo or or it would be more of call homes.
Deepak Mathivanan: And the second question I have is really just around the
Harshit Vaish: the advertising revenue. So this 25% growth really is strong, and wondering how sustainable that is into into 25.
Deepak Mathivanan: Thank you.
Harshit Vaish: Yep.
Ariane Gorin: Okay. Thanks for the question. On the Vrbo inventory, as you said, we added a million properties. These were a lot in urban areas. They're always properties that aren't shared spaces that have no host. There there were a number of apartments. And, you know, I'm not gonna say specifically how they're doing other than to say that you know, did contribute to, you know, Vrbo's recovery. As we look to supply in 25, it's not only about adding new supply, but also how do we make sure that the supply that we have you know, has flexibility, has great cancel policies, has maybe longer you know, different promotions and the like. So you know, when we think quality of supply, it's not only in the number of properties, but it's also in know, rate types and flexibility. In terms of ad revenue, you're right that the last multiple quarters, we've been growing that very quickly. You know, we still see a lot of road ahead. Whether it's getting more advertisers into our products, into our auctions, because, you know, we work with tens of thousands of hotels and other partners around the world. Whether it's innovation in the products themselves, so that, you know, the advertisers are getting better returns and we're able to monetize, or new ad types in our brands. So the team has quite a road map ahead. And, you know, they're very focused on driving more value to our partners and also doing it in a way that's positive for our travelers.
Deepak Mathivanan: Thank you, Aiden.
Ariane Gorin: Thanks.
Operator: Thank you. Our next question comes from Trevor Young of Barclays. Line is now open.
Scott Shankel: Great. Thanks. Ariane, in the prepared remarks, I think you mentioned
Trevor Young: potentially partnering in AI. You expand on that? And you know, do you view using some of those applications as a potential customer acquisition channel, for Expedia. Whether you'd be a supply partner for them, And then, relatedly, you know, does that shape how you think about some of the investments in Romy AI and other AI capabilities in house? And then second question with us, Bigar getting or potentially getting acquired, any thoughts on how that changes your outlook for Laban and your partnership there?
Ariane Gorin: Yep. Thank you for the question. Yep. I would say in AI, I would really think about it sort of in in three buckets. The first bucket is how are we using AI to make our products better? Whether it's for travelers or for partners. And we've we've been doing it for a couple of years. There's obviously a lot more to go. But we need to make sure that when travelers come into our brands, a, they wanna start there with their search, and they're getting a delightful experience that makes them wanna come back. Same thing with our partners, whether it's through onboarding or, you know, things we're doing in advertising. How do we use all of the great developments in AI in our products? The second is looking at changing traveler behaviors. You know, as I, you know, remarks, you know, travelers are going to start to search in different ways. And so we need to make sure that know, our brands are showing up in those new places where people are using Gen AI native search. And, you know, fortunately, we've got a very Tech sophisticated marketing team that's making sure that we do show up there. And then there's the question of if there are these native AI travel start ups Could we go partner with them, and can we go power them? And that's why to me, if I think about all three of those, we see opportunities across the board. We wanna make sure that we're really on the front foot. And, of course, in all of that, I'm not even talking about how are we using AI for our internal uses. In terms of Latin America and Despergar, I would say it doesn't change our perspective on LatAm. You know, Despergar is a great partner for us. We have our own brands in LatAm, and and, yeah, we have a number of partnerships there as well.
Scott Shankel: Great. Thank you.
Ariane Gorin: Thanks, Trevor.
Harshit Vaish: Thank you.
Operator: Our next question comes from Conor Cunningham of Melius Research. Line's now open. Please go ahead.
Scott Shankel: Hi, everyone. Thank you. Think you saw some nice leverage on the marketing side. Could you just talk about the the the tact changes that you're making there and just you know, if that's aiding in in just, like, underlying growth in international markets and whatnot. And then I think you mentioned in in the prepared remarks just merchandising and better cross selling of product. Can you talk about that a little bit more? How's bundling, you know, been, and and, you know, what's your expectation for that in the twenty five in general? Thank you.
Ariane Gorin: Yep. Thanks for the question. Just on on marketing, we've talked over the last, I think, year and a half about how we've been looking at marketing loyalty and our sort of promotional spend look at all three of those together to say where are we getting the best returns and which of those works the best in which place. And the teams are getting more sophisticated on understanding that understanding those returns both by brand and by geo. So I would say it's not really a tactical change. I mean, it's just it's continuing down that path of better understanding returns and being able to to to act. Decisively when we see things. And can expect more of that in the year to come. Yep. Some of the international growth also came from work we've done in packages. I've talked about sort of you know, work on the package product, also on promotions. So And some countries tend to be more package heavy countries than others. So that's helped us in the growth. We do see that when travelers buy multiple items, from us they're more likely to repeat. And so we know that we give travelers a great deal when they buy a package from us, or when they, you know, buy one thing and then add something else on. So they're getting a good deal and we know that it drives repeat for us. So that would say, has been in the Expedia brand's DNA. Thanks. The beginning, is something we continue to lean into.
Scott Shankel: Appreciate it. Thank you. Thanks. Bye bye.
Operator: Thank you. Our next question comes from Jed Kelly of Oppenheimer. Your line is now open. Please go ahead.
Mark Mahaney: Hey. Great. Great. Thanks for taking my question.
Deepak Mathivanan: Two, if I may. Just just looking at your full year guidance for twenty five, one would assume it implies some type of deceleration in your B2B segment. So can you just give us an update, you know, how we should think about B2B in twenty five? Then I was a little surprised. You're saying your margins are gonna be flat in one Q. I figured you were comping last year where you pulled back on some purple advertising in one Q.
Scott Shankel: So can you just give us an update on how you're viewing your advertising around verbal? Thank you.
Ariane Gorin: Sure. Why don't I take take that and then you weigh in?
Scott Shankel: The first off, like we talked about, FX is a headwind for the year as well. So if you index off the revenue growth, I'll start there. At three to five percent. You got two points ahead when from from the foreign exchange. Got a little for Q1, and you have a little bit of an Easter shift as well from from the comping of Easter in in really getting pushed out to to the second quarter. So that pressures revenue as well. So you're really looking at a range factoring in those three items to seven to nine percent, roughly just fill it out. So, yes, the deceleration, but some of that we're factoring in is really driven by some of the dynamics that we talked about with regards to seeing what we've seen in the first few weeks of January. So without rehashing that, we factored that into the guide You were gonna say something? And then I was just gonna add on the Vrbo question. It was really in Q4 three.
Ariane Gorin: That we pulled back significantly in the advertising on Vrbo because that was the time that we were going through the migration. So that just
Scott Shankel: Alright. And margin wise, you're roughly flat. Think what's well, it's leaving enough room for us to make sure that we can redeploy marketing as we talked about very much in line with what Arian just said a minute ago. As well as continue to get the leverage out of overhead and some of the other cost buckets but leaving room for the for the investment as we see fit to drive growth.
Harshit Vaish: Thank you.
Operator: Thank you. Our next question comes from Lee Horowitz of Deutsche Bank. Your line is now open. Please go ahead.
Mark Mahaney: Great. Thanks so much for taking the time. May you know,
Scott Shankel: maybe one on margin. Appreciating you guys, you know, won't break out the pieces of the margin guide. I know in the past, we've obviously talked a lot about marketing leverage. Can you maybe help us understand if you expect to get marketing leverage in twenty five? Is that an input to that fifty bps margin? Or are there other sort of areas of fixed and variable cost efficiencies that can drive this kind of margin? No. I think to reflect a roughly half a point, we're not gonna have margin expansion for the year. We're not gonna get into the different line items. We'll explain them as we go through the year.
Operator: But I appreciate the question and understand why you're looking for that.
Scott Shankel: Okay. No worries. And then then maybe just on Vrbo, any comments you know, obviously, pointing towards a little bit of a slowdown in the 1Q relative to a strong 4Q. Any comments on Vrbo quarter to date trends? And maybe just like your outlook for for where Vrbo can grow sort of longer term. Particularly relative to a market that, you know, is maybe growing low to mid single digits.
Deepak Mathivanan: Do you think you guys can outpace the market for quite some time? And what do you see as the key differentiators to do that?
Harshit Vaish: Yeah. So and we're not gonna give sort of
Ariane Gorin: directional guidance on on one of the brands, but I can say is, you know, we believe that Vrbo has a differentiated value proposition of being, you know, a vacation rental pure play. Where there's no host and it's whole homes. Again, we recognize that know, there it it hasn't know, had some of the investments or some of the investments whether it's in product supply and the like until last year. And, you know, we believe that there's there's a lot of gross that we can get from it. At the same time, I would argue we're still testing what are the things that work the best, whether it's around marketing spend, the loyalty program, You know, we're learn we've learned a lot in the last year in particular regarding the loyalty program us what are the returns from various things. So I think you will find in the year to come That a, we'll continue to be investing in the brand, as I said, across marketing supply and product. And that will make decisions based on what we need to do in order to grow grow it. But we completely have conviction.
Deepak Mathivanan: Thank you. Our next question comes from Kevin Kopelman of TD Securities.
Operator: Line is now open. Please go ahead.
Scott Shankel: Great. Thanks a lot. And, Scott,
Mark Mahaney: congrats on the start.
Deepak Mathivanan: Yeah. I just wanted to ask you about capital returns philosophy.
Mark Mahaney: If you can give us any more color on first, I guess, how you're thinking about share repurchases your philosophy there. And then with the re institution of the dividend, how you're thinking about the size of that dividend over time, and where it falls with your capital returns. Thanks.
Scott Shankel: Yeah. Absolutely. Let me just start with the basics around capital allocation. So we talked about in the script about repaying some of the debt. And we plan to refinance that if market conditions are favorable. So we'll remain committed to the target leverage ratio of of two times. Buybacks specific to those, we remain a capital it remains a capital allocation that a priority for us. In twenty four alone, as I covered, we we bought back twelve million shares. For a billion six. And while the pace of these buybacks can vary quarter to quarter, With over three billion remaining in our current repurchase authorization, we'll continue to be Specific to Dividends what I'd say is let's start with forty cents and let's see how the how things progress from there. Obviously, part of this is making sure that we have a dividend for income investors that wanna be invested in our stock and thresholds. So it's really important that we do that. And it was important for us as a company as we think about having to have turned off dividend during the the during COVID to bring it back is important for our shareholders and our overall capital allocation methodology. And thought process. And and then I think it's also important you know, we have room in our capital structure to invest in the business, including m and a if the opportunity opportunities present themselves. So it's it's important to keep that flexibility. I think with a really strong stock buyback, with the with the the allocation that we have, a strong dividend coming out of the gate of one percent we feel pretty good about where we're gonna go and what we're doing.
Mark Mahaney: Thanks. That's really helpful. And just maybe a follow-up on your comment there. With kind of the core consumer brands
Operator: doing better
Mark Mahaney: does that change the way that Expedia is thinking about larger acquisitions and whether it would be a time to to add another brand into the fold
Scott Shankel: Look. I think look. I'm coming in new here, but I think any time a company is at our scale and our our our technology base. Should be in the market and looking at m and a. And I think they've been and will continue to be I don't know if, Arianne, you have any other I mean, like you said, we obviously we have a team that's that's looking at deals.
Ariane Gorin: Right now, we're continuing to be focused on running the brands that we have growing the B2B business, the advertising business, and continuing to have strong returns.
Deepak Mathivanan: Thank you.
Operator: Thank you. Our next question comes from Doug Anmer from JPMorgan. Your line is now open. Please go ahead.
Scott Shankel: Great. This is Deane on for Doug. Thanks for taking the questions. I have two. First one, could you share your views on the overall travel
Deepak Mathivanan: demand in four Q? I think two It's only twenty five travel season. And if there were any particular regions in four Q or you might have been taking share, and any impact from the appreciation in the US dollars. And then secondly, we're curious if you have any update as well on your loyalty strategy in twenty twenty twenty five, particularly in markets of tomatoes. The US and UK.
Ariane Gorin: Sorry. Can you repeat that last? I didn't hear the last bit.
Deepak Mathivanan: So we're curious about your you have any updated thoughts on your loyalty strategy. In twenty twenty five, particularly in the markets outside of the US. And the UK?
Operator: Okay.
Ariane Gorin: Yep. Thank you. So just in terms of the travel environment, as we said, the travel environment was very healthy in the fourth quarter. And while we've seen some softening in January relative to Q4, as I said, you know, some of it we think is is pull forwards from the strong Thanksgiving promotions, There was FX pressure. There's some moderation in prices, but we don't think anything has structurally changed and that the environment is healthy. In terms of regions where we're taking share, I shared in my prepared remarks that our room night growth was higher in international markets than in the US, and we believe that a number of those markets, we are taking share. In terms of the impact from the stronger dollar, obviously, as Scott, you know, Scott shared the impact of that on our guidance, But what it also means is that over time, stronger dollar Makes it more attractive for Americans traveling abroad. And whenever there are opportunities around that, our teams are always looking at how can we help travelers understand when there are good deals for them. In terms of our loyalty strategy in twenty five outside of the US and UK, As you all may know, we paused the rollout of OneKey after the UK. And so what our teams are now working on is taking the learnings we've had from One Key, where we know that it's been a net positive for Expedia. It's been a drag on bookings for Hotels.com. And for Vrbo, it's driven new travelers from cross sell, from people who have earned On expedienthotels.com. Then redeeming on Vrbo, but we're still assessing the impact of the always on earn on Vrbo So we're gonna take all of those learnings and then look by brand and by geography we need to do in loyalty. We'll share more in the year to come.
Deepak Mathivanan: Got it. Thank you. Thank you.
Operator: At this time, we'll take no further questions. So I'll hand back to CEO, Ariane Gorin, but any Further remarks.
Ariane Gorin: So thank you all for joining us today, and we appreciate the questions. We closed the year with a strong fourth quarter and solid full year results. Looking ahead, we're focused on our three priorities, of delivering more value for travelers, investing where we see the greatest opportunities, rev growth, and expanding our margins. And I'd like to close by thanking our team for their work and dedication behalf of travelers and partners all around the world. Thank you.
Operator: Thank you all for joining today's call. May now disconnect your lines.